Operator: Thank you for standing by, and welcome to the EML Payments First Half FY '26 Results Call. [Operator Instructions] And finally, I would like to advise all participants that this call is being recorded. I'd now like to welcome Anthony Hynes, Executive Chairman, to begin the conference. Anthony, over to you.
Anthony Hynes: Thank you, and good morning, everyone. Welcome to the EML Payments Limited H1 FY '26 Results Telecall. I'm Anthony Hynes, Executive Chairman, and it's great to be here with our new CFO, Stuart Will, to report our interim results for FY '26 and provide an update on our progress on EML 2.0. Following our presentation, we will open the call to questions. I refer you to the ASX announcements, which were issued by EML Payments Limited this morning and form the basis for this call. Now let's kick this off. Moderator, moving to Slide 4, please. I'd like to commence today's presentation with a summary of our first half progress against the key themes of this transformation year. First, I've made it clear to our investors and to our internal team that FY '26 is the final year of our restructuring program, focused on laying the foundation for sustainable double-digit growth in the years to come. Project Arlo will naturally continue past June 30, 2026, but our plan is to close out organizational and management restructuring, key process reengineering and the standardization of our internal toolkit by the end of this financial year. We are on track and have completed a significant body of work in H1. We have refreshed management at all levels of the organization, and our output has increased dramatically, thanks to a reenergized team aided by fresh talent and importantly, they are working together as one EML. We're also more efficient. Our global ops center is just one example, allowing us to recycle expenditure into commercial functions, supporting future growth. Second, our commercial team is hitting its strides. The market in which we operate are growing, and we're now on the pitch competing and winning in a meaningful way. It's terrific to see so much activity. There is now a clear and evident growth mindset permeating the business. The vast majority of the pipeline is from existing product sets delivered by our existing infrastructure. Over time, Arlo will expand this capability materially. Third, product development is now part of our operating cadence, which will fuel future growth alongside organic performance. We have welcomed a talented group of product managers into the business in recent times and are busy advancing several initiatives, all of which are aligned to client needs with a clear path to market. Importantly, product development is now a structured cross-functional activity focused on optimizing commercial outcomes and creating sound operational platforms so that we avoid the challenges of the past. A more efficient EML, combined with a strong order book and growing pipeline supports our EML 2.0 strategy and performance targets. We have, however, seen some lag in new client onboarding over the last 4 months, which has resulted in the tightening of this year's guidance range from what was $58 million to $64 million to $58 million to $60 million. I'm energized by our progress in the first half. Importantly, we are winning where it matters, both commercially and in terms of building the infrastructure for our future success. Moving to Slide 5, please. I'll summarize our performance for the half, and Stuart will cover this in more detail shortly. Revenue for the period was down 6% on PCP to $108.4 million with customer revenue, excluding float interest income, down 4% to $79.4 million. The loss of a number of customers for various reasons in H2 FY '24 suppressed customer revenue growth somewhat. Pleasingly, the runoff of these programs is almost complete. Interest income was lower in H1, reflecting lower central bank rates flowing through to our yields. This continues to be well managed, and the downward curve on cash rates remains consistent with our projections. We do see less volatility in the period ahead compared to the experience over the last 12 months. Overheads were well managed during the period, down marginally on PCP with a $1.3 million run rate better than H2 FY '25. Quarter-on-quarter, we improved $3.6 million, demonstrating improved efficiency and better control over resource levels. Underlying EBITDA was down 16% on PCP to $28 million. This was largely driven by the impact of one-off nonrecurring income in H1 FY '25 and terminating clients from 2024. Our cash balance reduced by $11.5 million against 30 June 2025, reflecting the provisional class action settlement payment, PCSIL loan repayment and capital expenditure for Project Arlo. Overall, liquidity is sound. Moving to Slide 6, please. Shareholders know that they have a keen interest in accountability and execution and a key part of that is regularly reporting against our plans. There are 3 key pillars supporting our growth and efficiency agenda through FY '28. Firstly, building a global operating model to move away from silos and drive efficiency and scale benefits. Secondly, reviving our revenue engine by rebuilding our commercial and product teams to capture the significant opportunities that we see in the market. And third, deploying a single technology platform across EML to dramatically increase our speed, digitize manual processes and drive consistency of offering across all of our markets. Firstly, on our global operating model. We have this deployed, which aligns with resources together to build scale, synergy and quality. We're clearly seeing the benefit of this structure and a focused and refreshed leadership team across both day-to-day operations and the larger bodies of work. Our GlobalOps Centre established during the half has grown quickly to 18 FTE and is forecast to double or more over the next 6 months. We're seeing a 35% cost saving on these roles versus traditional market employment. And the talent pool of qualified English-speaking candidates is significant. We're now on a single HR information system across the globe. We've gone from 5 payroll systems to 1. This is seeing streamlining of our HR operations with further advancements in both L&D and engagement over the coming quarter. And I'm very pleased to report that we actually have engagement now. On our revised revenue engine, I'll talk further to the pipeline and order book shortly but hitting the highlights for the half. We exceeded our pipeline target of $90 million at 31 December with a result of $91.5 million. Our conversion rate is ahead of target. We continue to renew our largest clients with a further top 5 renewal during the half, which was well ahead of cycle. Commercial and product leadership continues to attract investment in response to opportunities and client demand. On our single technology platform, Project Arlo, core platform build is in full swing. In parallel, migration planning is underway to create an efficient, timely and client-responsive work stream following regional production deployment. We will stand up Arlo in the U.K. by the end of this financial year. In summary, much progress has been made on our EML 2.0 plan. I look forward to sharing further update at the full year, which will feature a further shift from internal programs to commercial activity. Moving to Slide 7, please. I want to go a little deeper on our business development momentum, as I said it would during our investor discussions over the last 6 months. It's worth remembering that our commercial function was virtually nonexistent at the start of last calendar year. And given we operate a B2B2C business, forming a view on things like normalized conversion rates and time to revenue, et cetera, will take some time. I do think it's useful to note our progress, so let me share a snapshot of how we're traveling today. Please note that all the numbers discussed today are forecast annualized revenue. Depending on our client start date, we'll see a portion of that flow through to the relevant financial year. Our overall pipeline continues to grow and now sits at $102 million. We've secured close to $24 million of new program revenue. Our conversion rate is tracking at 51%, which is terrific. As previously mentioned, the sample size is still relatively small. So, I think this may moderate somewhat as our activity increases. But let's see. Of these secured programs, $10.3 million has launched and is active on system with a further $13.5 million to launch over the remainder of the financial year, hopefully, most in the next 60 days. We have welcomed some exciting partners with strong growth prospects. Thanks to an energized team in North America, we're seeing the reemergence of the digital payments vertical, which is high-volume, low take rate but high-margin business and importantly relatively quick to implement. That said, we're somewhat frustrated by lags between signing and activation. Sometimes this is internal process or a partner's process or its client side. We're super focused on optimizing our critical onboarding program and expect better results in the period ahead. Proportionately, Europe has underperformed, but we'll shortly welcome new commercial leadership to this key market, which represents circa 50% of our global footprint. Overall, our activity and approach are likely is better than they were 12 months ago. The wins are flowing, and our order book is strong for the forward period. We can and will continue to improve both metrics and work quickly to compress the time to revenue. So, we see the fruits of our labor in the shortest time possible, recognizing that not all of the processes are within our control. Moving to Slide 8, please. Alongside business development, our growth will be underpinned by getting more from the core through better relationship management and a commercial mindset. Our EML 2.0 plan forecast growth in existing clients of 4% to 5%, which is being realized excluding those clients in runoff from 2024. The business also enjoys a good spread of key clients. In other words, we don't suffer a pronounced client concentration risk. Our top 5 clients represent just over 1/4 of our revenue. Our renewal profile is also well spread and pleasingly, we continue to see early renewal activity. We have a great asset base across our existing clients. As we improve our performance and behaviors, our clients are welcoming us into their strategic and innovation planning. And naturally, this provides a ready-made market for product expansion. Moving to Slide 9, please. As I've noted, product development is firmly back in the day-to-day lives of EML. The first cap off the rank is mobility. And when you think of mobility today, think about those magnetic stripe fuel cards, probably multiple of them if you have a fleet car and novated lease. This is the product that we intend on making obsolete. It's an enormous global market that suffers from several structural challenges. It's expensive relative to other payment networks. The technology is mostly old, complex and inflexible. Clients and cardholders want a better experience, whether that's wider acceptance or digitization or both. And EV is a growing factor in fleet and related expense management. We are convinced that the market is hungry for new ways to manage motor vehicle expenses in the digital age. Slide 10, will go to next. Validates the size of this price. What you can see from the market data here is both the size of the market today and the forecast growth rate over the medium-term. To be clear, that is double-digit CAGR. For EML, we see great overlap in attractive markets with our existing footprint, and we have the capacity to geographically expand as we prove the product in our home markets. Turning to our solution on Slide 11. EML is exceptionally well placed to play a key role in the digitization of vehicle and other corporate expense management. We bring a pedigree in industry-specific product design, utilizing open and private loop payment rails and the underlying regulatory framework to support large-scale programs of this nature. We also have the operational presence in several of the most attractive markets. We are finalizing key partnerships including with an emerging global leader in fuel retailing technology integrations. These guys have deep expertise in the browser and fuel retailer side of the transaction flow with technologies that are deeply integrated into major forecourt controllers worldwide. Our product and technology teams are working through a proof of concept and technology integrations. Imagine having a digital wallet on your phone being able to purchase fuel anywhere and from any brand with all of the controls of vehicle owners, fleet managers and corporates demand, enabling you to also activate the pump from your app without stepping inside the shop. And you can use this wallet for vehicle-related expenses beyond service stations, providing the first proper look into total cost of ownership of vehicles. This is the solution we're aiming for. It doesn't really do it justice, but there's more to come in future investor updates. As I said, the team is busy working on our technology platform, and we expect to launch our MVP by midyear. Codesign discussions with key clients are underway. And turning to Slide 12, please. Before handing over to Stuart, I'll share an update on Project Arlo, our new single global platform replacing 3 disparate regional systems. I think it's worth reminding everyone that we've taken a modern, pragmatic and flexible approach to systems architecture for Arlo. What we are doing is we are building the core IP that goes to our business model, being the presentation layer and the business logic or interoperability layer. This is where great experiences are made, and programs are configured and activated rapidly. The commoditized elements of the process things like KYB, transaction monitoring, transaction processing, et cetera, are being procured on a SaaS basis and plugged into our stack. While we retain flexibility to add and swap capability and capacity without disturbing our clients. What we aren't doing is building a transaction process over the next 4 years at an exorbitant cost. Our core mission here is to turn today's circa $30 million of ICT spend into $20 million and realize further operational savings through digitizing and automating process. The business case holds true today. As you can see from the chart on Slide 12, our core build is expected to be complete around the end of this calendar year. We will deploy firstly in the U.K. midyear and then in the other 2 regions at the end of the year. New clients can launch on the platform from these points. Migration planning is underway and will be of aggressive activity through the back half of calendar years '26 and '27 and likely into the first half of '28, subject to key client engagement. Rest assured, we'll go as fast as we can without causing unnecessary risk or disturbance to our runway. I'll now hand over to Stuart to dive into the financials.
Stuart Will: Thank you, Anthony. I'm pleased to be here today, having stepped into the CFO role on the 1st of December and look forward to meeting our shareholders over the coming days. I'll begin on Slide 14, which shows the key operating metrics. As Anthony has said, the group experienced a challenging start to the year with a well-managed cost base helping to offset revenue challenges. Revenue performance reflects previously communicated headwinds of lower interest rates across all regions and the impact of customer terminations from the prior financial year. Customer revenue declined 4%, driven primarily by Europe, partially offset by growth in Australia and North America. Interest revenue declined as expected following Central Bank rate cuts with high bond yields in Europe partially mitigating the impact. Net overheads of $53.1 million were consistent with the comparative period following leadership-led simplification, allowing reinvestment into commercial and sales capability. As a result, underlying EBITDA is down 16% to $28 million. Cash has decreased over the half by $11.5 million. I will expand on that later. Moving to Slide 15, which shows the results of our European business. Europe remains our largest segment with just under 500 customers across the U.K. and the broader European region, operating across government, financial services and human capital management. GDV or gross debit volume has increased 5% to $3.4 billion, driven by higher volumes with existing customers. However, total revenue declined 12% to $60.1 million, primarily reflecting a 13% reduction in customer revenue due to terminated customers and also a 10% decline in interest revenue in the lower yield environment. Excluding terminated customers, existing customer revenue grew by 5% which is consistent with the growth in GDV. Net overheads increased 11% to $31.6 million in the region, driven by higher irrecoverable VAT charges. As part of EML 2.0, the business transitioned from a regional to a global operating model and this has resulted in an increase in some costs allocated from corporate. Gross profit margins were maintained despite the revenue pressure. I'll now move to Slide 16, which shows the performance of the Asia-Pacific region. This region comprises our Australia and New Zealand businesses, which are predominantly general purpose reloadable products with a strong human capital management presence and just under 200 active customers. Customer revenue increased 10%, largely driven by a 5% increase in active HCM benefit accounts, which helped offset an 18% decline in interest revenue. GDV has increased 13%, in line with the growth in retail and HCM sectors. Net overheads increased 5% to support the investment of EML 2.0 with the underlying gross profit and EBITDA margins broadly in line with the comparative period. If we now turn to Slide 17, we'll focus on our North American segment. North America operates predominantly in retail and incentive products with participation in financial services via the VAN product and some exposure to gaming. The segment is just under 500 customers. GDV declined 6%, primarily due to lower VAN volumes, a high-volume, low-yield product with high margins. Pleasingly, customer revenue was up 1%, resulting in improved revenue yield and stable gross profit dollars and margins. Consistent with other regions, we saw lower interest income. Net overheads increased 13%, driven by higher irrecoverable GST in Canada, and targeted spend on professional fees. Slide 18 shows us our overhead cost base. Group overheads remained stable in the first half of '26 compared to the same period last year and fell 2% from the previous 6-month period being the second half of '25, reflecting the ongoing refinement of the EML 2.0 operating model. The savings were driven by $1.4 million in employee entitlements, $1.6 million from reduced reliance on professional fees and partially offset by higher recoverable VAT and GST in Europe and Canada. Arlo product costs expensed in the period of $4.5 million relating to the build are excluded from net overheads and underlying EBITDA as previously guided. Moving to Slide 19. We provide an overview of our interest income and store float balances. Interest income is a conscious and key source of revenue for EML. Interest revenue decreased 11% to $29 million due to lower cash rates, partially offset by higher bond reinvestment returns. Float balances increased 5% to $2.6 billion with an annualized yield of 3.1% compared to 3.7% in the prior period, excluding noninterest-bearing float. The exit rate at 31 December 2025 is 2.8%. We expect less volatility over the forward period compared with our experience over the last 12 months. The bond portfolio contributed 51% of the group's total interest income in the period. The current portfolio has a yield of 3.9% with an average duration of 2.5 years, helping moderate interest rate headwinds. Slide 20 shows a cash bridge for the period. As I've mentioned earlier, cash has decreased over the half by $11.5 million, reflecting cash outflows to provisionally settle the class action of $40.9 million, repayments to the PCSIL liquidator of $13.3 million and CapEx of $4.4 million, principally on Arlo, and that has been funded by debt drawdown of $44 million. Excluding one-off items, the underlying operating cash flow was $22.2 million, representing a 79% EBITDA to cash conversion ratio. This is an area of continued focus of mine. With the majority of historic one-off outflows behind us and strategic actions we've taken over the last few periods, we remain focused on improving our cash conversion rate and optimizing our cash flow management to drive greater financial stability and shareholder value. Next half, we see continued investment in the Arlo CapEx, and we expect to make the final loan repayment to the PCSIL liquidator of approximately AUD 6.6 million. In concluding, FY '26 remains a transition year as EML moves to a globalized operating model, closes out a range of historical matters and positions the group for growth in FY '27 and beyond. I'll now pass back to Anthony, who will cover our priorities for the second half and outlook for the business.
Anthony Hynes: Thanks, Stuart. Slide 22, please, moderator. As we look into the second half of the financial year, we have several key priorities as outlined here. On the commercial front, we want to build our sales pipeline to circa $125 million by the end of the financial year. We have a good group of prospects at final decision stage and hope to build our order book, further strengthening the running to FY '27. We will also optimize the onboarding process as much as humanly possible before year's end. Our exciting mobility project is expected to be in MVP test mode come June with this project moving to a production build phase within our product and tech group. Bandwidth at the exec level would be free to advance the next strategic product development effort. This is the typical cycle we'll get into as the business matures over the coming 6 months. On the efficiency front, our GlobalOps Centre in Sofia will continue to expand. We're actively working on a unified service management platform to make our frontline service and admin teams more efficient and effective. Agentic AI is being explored across operations and other parts of the business. Our product and technology group have a big program ahead. Arlo will be production launched midyear in the U.K. and migration planning together with regional readiness activities are ramping up. Our engineering group is seeing positive early signs from AI tooling and further proofs of concept will be undertaken in the quarter ahead to land on a strategy into FY '27. Finally, on our people, the most important foundational element of all. As you've heard, we're very focused on getting our commercial team right in both capability and numbers. Product is a key growth enabler and this team will expand further over the next quarter. As part of this, we'll get sharper as innovation and strategic product development become BAU. Our HR group is busy embedding our new performance management system and various other cultural initiatives, which are contributing to a renewed sense of energy and teamwork across the business. As you can see, work continues at a furious pace, but I have every confidence in our team to execute. I'd like to take this opportunity to thank our hard-working team, our customers, our partners and of course, our shareholders for their continued support of EML. Thank you for listening to Stuart and I this morning. We're happy now to take any questions. Thank you. Moderator?
Operator: [Operator Instructions] And your first question comes from the line of Elyse Kennedy of Petra Capital. Please go ahead.
Unknown Analyst: On the result. A quick question from me. Just trying to understand, it was a very strong second quarter from what was in the first quarter AGM update. Just looking forward in the next quarters as you're starting to see some of those efficiency gains come through and perhaps some of those contract wins. How do we think about the rest of the year, just given you've tightened the guidance for the full year slightly lower?
Anthony Hynes: Okay. So look, I think on a couple of different fronts, if you think revenue-wise, we've got a really strong -- we have a whole bunch of people, particularly in the U.S. that we're looking to onboard and trying to solve for issues that have provided a lag for us in the last quarter. So we hope that a lot of that gets addressed and we can bring these people on to revenue, as I said, in the next 60 days. On the cost side, we're managing things really well. I don't think you'll see every quarter deliver the same quarter-on-quarter improvements. And we've always talked about reinvesting our savings into our commercial ambitions, which we're doing. So look, we've tightened the range, and we did that deliberately. I think getting to the top of what was there before is just too difficult for us at this point. But we've got a heap of work going on trying to build the book into '27 and beyond. And right now, we're feeling pretty good about '27.
Unknown Analyst: That's very useful. And just one more quick one from me. Just around FY '28, are those still some of those aspirational targets? Are they still -- do they still stand?
Anthony Hynes: 100%.
Operator: [Operator Instructions] And your next question comes from the line of Richard Harrisberg of Canaccord Genuity.
Richard Harrisberg: Well done on the results. The numbers look good. There's a lot to dive into here. I guess my question is mostly just around the pipeline. I know we've discussed before, it's been very early talking about conversion rates, et cetera. And obviously, it's a forward-looking metric. But is there any color on -- you kind of mentioned you're looking at converting that was sort of ahead of your expectations. Maybe you could give a color throughout the rest of the year on this $100 million pipeline, what that might sort of look like?
Stuart Will: Yes. So in November, I think I said that as we've got more data, we get better at being able to give you something to model. If you look at the last quarter, we're coming in at just a touch over 50% conversion. I think as the pipeline expands and as we deploy Arlo and have a much more efficient offering, then we would expect to see -- and we build out the commercial team and the product team. And we'd expect the pipeline to continue to grow. And I'd love to tell you that we'll maintain 50%, but history tells me that, that will probably taper. But as I said in my address, let's just wait and see. It's converting well better than we thought it might. So I think that's a positive start. But will it continue at that rate? I don't know. I don't think it's going to plummet. Theoretically, we should get a whole lot better at it because we will have taken out the roadblocks that our platforms or processes have imposed. But it's still subject to sometimes our partners' processes or sometimes our customer and their timings. And that certainly had an impact on the last quarter. So those things are obviously outside of our control. Partners, for example, we're going to continue to work with them and look at their systems and processes and continue to look for new partners as well. So there's a bunch of inputs into that. But for now, it's converting really well. It's growing. And as I said in my address, like almost all of it is existing products on existing platforms. Let us get to a new platform with better processes and systems and I think the way we go. I think the other thing, just to keep in mind for the next couple of months, more than 1/4 of the pipeline is either in vendor selection or negotiation right now.
Richard Harrisberg: Yes, I guess just to touch on the new wins as well. Just from a regional perspective, obviously, a lot of it is coming through in North America. It's also where you're seeing some growth as well. I just was wondering if that's sort of a targeted push into that specific region or if you're looking across the board as well, and the breakup of the pipeline along those lines.
Anthony Hynes: Honestly, I think it's more a reflection of led by what I'd refer to as a superstar in the North American region. The team has come together really well and they're making great inroads. We haven't been as strong in Europe, and we're addressing that. So, I think you'll see that pick up. But really, the North American thing isn't so much about distinct push into that market. It's just that we've really nailed the commercial team construct there, and they're having a lot of fun.
Richard Harrisberg: That's helpful. Maybe I'll just ask one last one. Just on some of the one-off costs that you strip out of underlying EBITDA. Obviously, Project Arlo is a portion of that. But outside of Project Arlo, do you sort of expect towards the end of the year and especially going into next year that, that statutory EBITDA number compared to the underlying will start to look a lot closer?
Anthony Hynes: Yes. That's 100%. I mean, Stuart can go into more detail. But you might recall November, August last year, I said this financial year, I've told everybody that fix whatever needs to be fixed because from here on in, it's on us. And there's a flurry of things going on to try and address some of the processes and nonsense that has gone on here historically. And the intent is that when we go into next year, because I want it, and I know all of you do, too, we're going to have a cleaner set of numbers.
Stuart Will: Yes. I think that -- I mean, the team have heard it internally from me a lot, we just need to work to one set of numbers here. And going forward, yes, I mean, we're probably going to capitalize in the order of 50% of the Arlo build costs sort of under the accounting standards. So, there will be ongoing OpEx that goes through the P&L, which we'll continue to report this way, certainly, probably for FY '27. I would think not beyond that though. So next year would be probably one line here, subject to nothing else arriving that we don't know about. But yes, so that will be a focus.
Richard Harrisberg: That makes sense. And just to clarify, so end of FY '27 is kind of when we're expecting the last payments towards Arlo to wrap up. Is that correct?
Stuart Will: Well, I think the majority of the build cost will be done by the end of calendar '26. There will be ongoing development work beyond that. But yes, I think FY '27 will be largely focused on migration, hopefully.
Anthony Hynes: Well, certainly the second half of the -- so simple terms, the core build is done by end of first half '27. The second half of '27 will be about migration. But as Stuart said, whilst the business case build of Arlo was spend $15 million and save $10 million a year. And as I've said many times, as an investor who wouldn't do that. But the reality is that that might be the business case and not reasonably here, right? So, Arlo enables a whole bunch of things that we don't have today. And I said this before, today, we have debit card that you can reload once or reload multiple times and then full stop. Arlo gives us prepaid, debit, credit, digital, physical, virtual, single currency, multicurrency, configurable reporting, customizable offers to cardholders, a whole bunch of stuff that we don't have today. And so, I would expect that we'll continue to evolve and enhance that offering. And so, you'll see spend beyond this calendar year on developing and enhancing Arlo, but the core build will be done this calendar year.
Richard Harrisberg: Sounds very exciting. I might be cheeky and just ask one more as well. Obviously, just on business development and you've been expanding the sales team and the opportunities that you're seeing there. Maybe you could just touch on if you're still confident in that and how that's gone progressed? Are you kind of at the sales capability that you'd like to be at now? Or is that still -- are you still pushing really hard on that front?
Anthony Hynes: I don't think you'll ever see us stop pushing really hard. I hope not, not on my watch anyway. But I mean, look, so far, it's going really well. I think we're not quite where we want to be in Europe. North America is having a great time. Australia is doing really well. And as we think about new products and new segments, I mean, the response from the existing customer base around some of the stuff is phenomenal. So, I would hope that you see us push even harder, particularly once we get clear of developing or building Arlo so that we can actually turn customers on. That's when you really should see us put pedal to the metal or metal to the pedal.
Operator: And this does conclude today's Q&A session. I'll turn the call back over to Anthony for closing remarks.
Anthony Hynes: Well, thank you, everyone, for joining the call today. And thank you, moderator, for your role here. I look forward to seeing many of you on the road over the coming days.
Operator: This does conclude today's conference call. Thank you all for joining. You may now disconnect.